Operator: Good afternoon, ladies and gentlemen, and welcome to the LENZ Therapeutic Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this call is being recorded. At this time, I'd like to turn the call over to Dan Chevallard, Chief Financial Officer. Please go ahead.
Daniel Chevallard: Thank you. Good morning, and thank you for joining us today. My name is Dan Chevallard, Chief Financial Officer of LENZ Therapeutics. I'm joined today by Evert Schimmelpennink, President and Chief Executive Officer; and Shawn Olsson, Chief Commercial Officer; as well as Dr. Mark Odrich, Chief Medical Officer, who will join us for the question-and-answer session. Before we begin, I would like to remind you that this call will contain forward-looking statements regarding LENZ's future expectations, plans, prospects, corporate strategy, regulatory and commercial plans and expectations, cash runway projections and performance. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors and risks, including those discussed in our filings with the SEC, which can also be found on our website. In addition, any forward-looking statements represent only our views as of the date of this webcast and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligations to update such statement. The company encourages you to consult the risk factors contained in our SEC filings for additional detail, including in our third quarter 2025 Form 10-Q, which is being filed today. With that, I will now turn the call over to Ev.
Evert Schimmelpennink: Thank you, Dan. Good morning, everyone, and thank you for joining us. This is an incredibly exciting time at LENZ as today marks our very first earnings call as a commercial company. The third quarter and recent period have been truly transformational for us, defined by the FDA approval of VIZZ in July, which came ahead of our August PDUFA date and by the successful commercial launch of VIZZ in the U.S. in early October. VIZZ is the first and only aceclidine-based eye drop for the treatment of presbyopia in adult. We are proud to have brought this important innovation to the market. We're now just 1 month into the launch, and our main focus is on giving doctors the opportunity to experience VIZZ in the real world, trying it themselves, with the staff and with some other patients. And already, we're seeing tremendous enthusiasm from the eye care professional community as VIZZ makes its way into their practices. As of the end of October, more than 2,500 doctors have already prescribed VIZZ. What's particularly impressive is that 40% of those prescribers have already written multiple prescriptions. All of this has led to over 5,000 paid scripts for VIZZ being filled by [indiscernible] in October, a number that represents a very impressive start of our launch, clearly showing both consumer interest and satisfaction with VIZZ. And these are just some of the early milestones, only about 4 weeks into our launch that we're very encouraged by. This early adoption is aligned with the consistent and very positive feedback we are hearing. Doctors tell us, VIZZ delivers rapid meaningful improvement in vision and a long duration of effect for a broad group of presbyopes. They also point out that it's clearly differentiated from anything that used before. Anecdotally, we hear about noticeable improvements in distance vision and the early feedback that we're getting from the fields also suggest that instances of headache, the side effect that we were most focused on in our clinical trials appear to be minimal. All of this aligns with the fact that aceclidine is the only pupil-selective and [indiscernible], which again really bodes well for the uptake of VIZZ. In line with our label, the most noted AEs appear to be brief initial staying on installation and transient hyperemia. And based upon early results, we're hearing more of it than we initially expected. AEs in our trials, like an all well-run clinical studies are a combination of doctor observations and direct patient feedback doctor asks for. Our initial thoughts on the potential variance is driven by 2 main factors. First, in our trials, doctors would dose the patient and then return to them for the first set of measurements 30 minutes later. By then the redness, if it happens, lessens or resolved. And second, the following 5 days, subjects would dose at home. And by day 7, the next in-office visit, the patient had already progressed past the Tachyphylaxis phase. This appears to be very much in line with what doctors and patients are reporting now. But stinging and redness tend to be short-lived and fade quickly for most people and the rapid and very noticeable improvement in near vision outweighs these highly transient early effects. Importantly, many doctors describe it as Tachyphylactic, meaning it becomes less noticeable after just a few days, in line with what we're hearing from patients as well. We've already tailored our field messaging based on this feedback, helping doctors to set expectations and share their experiences with confidence, so patients know exactly what to expect and why it's worth it. And we're seeing this work in their practices. As I mentioned, this fourth quarter is really focused on providing doctors with confidence and the right processes to prescribe VIZZ. That is essential groundwork as we prepare for our direct-to-consumer campaign early next year. Ensuring that ECPs and their staff are ready to serve what we believe will be a significant inbound wave of patients. We think of our DTC campaign as the second phase of our launch, and we're thrilled to announce that Sarah Jessica Parker will serve as a spokesperson. She needs no introduction. SJP as we prefer to be called, is an iconic figure and like this truly represents a category of 1. We believe this partnership perfectly reflects our brands and the confidence, style and authenticity we wanted this campaign to embody. And we are excited to share more as we roll out the campaign in early 2026. We also strengthened our balance sheet during the quarter. In October, we completed a direct placement to a single large institutional investor through our ATM, raising more than $123 million and bringing our current total cash position as we launch VIZZ to roughly $324 million. All these significant milestones position LENZ as a disruptive new entrant into the ophthalmology space as we look to establish this as a standard of care for adults frustrated with presbyopia. We've talked before about the 3 phases each doctor moves through as they get ready to recommend us, awareness of VIZZ, confidence in the product and willingness to prescribe. Let me touch on where we are in each of these areas at the end of October, roughly 4 weeks after the first samples reached the field. First, we've made tremendous progress on awareness for VIZZ among the eye care professional community. The mid-October survey showed awareness among doctors at 90%. This is an outstanding number for such an early stage of launch and speaks to the strong engagement we're seeing. And we believe it bodes well for product uptake and long-term adoption. Moving to confidence. As we spoke about, VIZZ is built through real-world experience. It's about doctors using VIZZ themselves, observing its effect and hearing positive feedback from start and early patients. Driving that experience for October alone, we've already distributed more than 70,000 samples to roughly 7,000 offices, initial average of about 10 five pack samples per office. The interest level has been very high, not only from our target doctors, but also from many outside vet group. That tells us the word is spreading and the enthusiasm is broad. And finally, willingness to prescribe. This is where awareness and confidence translate into action. As I mentioned earlier, more than 2,500 doctors have already prescribed VIZZ in the first few weeks and over 1,000 of them have prescribed multiple times. VIZZ has resulted in over 5,000 filled scripts in October. That's an incredibly strong start VIZZ early in the launch, something we're pleased with and want to recognize our sales force for. We've been lucky to have been able to pick the best of the best at our specialty reps, and they are out in the field delivering each and every day. Having them building this willingness to prescribe with the ECP community is fundamental to our success and sets us up for the next phase, our direct-to-consumer campaign in the first quarter of 2026. Before I hand it to Shawn, I want to reiterate our confidence in VIZZ and the strength of this launch. We know the efficacy of VIZZ is excellent and what we're hearing from doctors in the field continues to align closely with them, if not better in some cases. VIZZ is the first and only truly practical pharmacologic solution for presbyopia, one that restores near vision without compromising distance vision and that integrates seamlessly into everyday practice. As I said before, this is more than just a product launch. This is the start of a new category, one built on real-world efficacy, genuine doctor and patient confidence and seamless access to both samples and product. With that, I'll hand it over to Shawn Olsson, our Chief Commercial Officer, to share more color on how the launch is progressing. Shawn?
Shawn Olsson: Thank you, Ev and good morning, everyone. As a quick reminder, presbyopia is the largest unmet vision condition in the United States. It affects approximately 128 million people, population nearly 4x larger than those of dry eye. In fact, presbyopia affects more Americans than dry eye, demodex, child myopia, macular degeneration, diabetic retinopathy and glaucoma combined. Our commercial organization remains fully focused on one clear objective in Q4 and the first pillar of our commercial strategy, driving doctors to recommend VIZZ. We know that eye care professionals adoption is the critical foundation for our launch, and we're executing a clear 3-step strategy. First, driving eye care professional awareness of VIZZ, then building confidence and ultimately establishing willingness to prescribe. Let's start with driving awareness of VIZZ. Our awareness phase has been highly successful and is largely complete. As Ev mentioned, we successfully achieved 90% eye care professional awareness of VIZZ since approval. This is a phenomenal awareness driven by a robust multichannel campaign. This included a broad media plan with over 5 million digital impressions, a strong presence at major industry events such as Vision [ XO ] West, Academy Optometry and the Academy of Ophthalmology and the exceptional effort of our 88-person field sales team. We're conducting over 13,000 calls every 4 weeks. Our memorable singles global brand name has also contributed to this remarkable awareness. Moving into building confidence in VIZZ. In October, we progressed from the awareness of VIZZ to the confidence in VIZZ. This stage is powered by real-world experience through our sampling strategy and peer-to-peer engagement at speaker drove app. To date, we've distributed over 70,000 samples to 7,000 ECP office, driving exceptional engagement. We're seeing positive organic stories emerge across LinkedIn, TikTok, Facebook and other social media platforms as both ECPs and patients share their experiences. One notable story involved a skeptic doctor converting to a VIZZ believer after a LENZ sales rep challenged them to put VIZZ to the test. This ultimately ended up with the eye doctor and patients sharing their positive experience with VIZZ on FOX News, which ultimately was syndicated across multiple markets. We also launched our KOL-led speakers bureau in October. We have already held over 50 of the 140 events planned for Q4. These sessions highlight VIZZ's unique MOA, robust clinical performance and ease of integration into the practice. To ensure credibility, our speakers were among the first to receive product samples and share their real-world results. Ultimately, we're seeing great progress and the confidence in this phase. The feedback is positive, and it's clear this product is highly effective at restoring near vision with a rapid onset and long duration. As a reminder, the primary issue with the long-term adoption of UE was for most patients, it did not work. And when it did work, it did not work long enough. We continue to see this as a category of 1, and this stands alone in this category as the only drug achieving the necessary sub-2 millimeter people to restore near vision for up to 10 hours in both clinical trials and real-world use. We continue to hear great feedback from eye care professionals and their enthusiasm and person experiences are building strong confidence in both the product and its result. Finally, we move to willingness to prescribe, the culmination of awareness and confidence. Our goal is to bring ECP to this stage by the end of Q4. Already more than 2,500 ECPs have prescribed VIZZ with 40% writing multiple prescriptions, resulting in over 5,000 prescriptions filled through October. We believe this clearly demonstrates a strong belief in the product's performance and alignment with the patient's need is already being established for an effective presbyopia solution in the first few weeks of launch. Looking ahead to the consumer phase, as we prepare for 2026, we are well positioned to transition to the consumer phase of our launch. This category has proven to be highly responsive to promotion, both from prior launches and the organic virality surrounding VIZZ. In Q1 of 2026, we will initiate our direct-to-consumer campaign, driving the second pillar of our commercial strategy, which is consumers to request us finding. Our team has been preparing extensively for this consumer campaign. As a Category 1 product, we must break through the advertising clutter as we compete for the consumers' views, inspire authentic belief in VIZZ and ensure consumers see VIZZ as a worthy investment. To achieve that, we knew we needed a direct-to-consumer campaign spokesperson with stopping power. who resonates with our target consumers, who is an authentic user of VIZZ and aligns to a category of one lifestyle product. We are excited to share that we achieved all of these objectives and partnered with Sarah Jessica Parker to lead the VIZZ DTC campaign. In fact, our marketing team just completed the commercial shoot in New York City with SJP yesterday, and we are thrilled. The marketing team's efforts are now focused on finalizing the creative assets and ad spots to support our Q1 2026 consumer campaign launch. We look forward to providing further details on our exciting DT strategy in the months ahead. With that, I'll hand the call over to Dan Chevallard, our Chief Financial Officer, to highlight our financial results. Dan?
Daniel Chevallard: Thank you, Shawn, and good morning. As has been mentioned, the third quarter of 2025 and recent period has been an extremely productive and exciting time at LENZ, headlined by our FDA approval and the commercial launch of VIZZ, but also included great progress with our ex-U.S. strategic partners and more recently, from the standpoint of substantially strengthening our balance sheet, which I will go to in a moment, not to mention the exciting news that Shawn just shared on our DTC campaign. Importantly, and before I proceed, please note our first product sales of VIZZ occurred in October. So, there were no product revenues in the third quarter. The script data that we highlighted today was from the month of October only. As Ev mentioned, in early October, we received a meaningful inbound inquiry from a single large institutional investor on our ATM, which ultimately resulted in an initial block trade of $80 million, but was then followed by a second block trade of approximately $44 million, exhausting the remaining available balance on our ATM program. Pro forma for these placements, we ended Q3 2025 with approximately $324 million in cash, cash equivalents and marketable securities. We view the timing, magnitude and conviction of this single inbound as a tremendous validation of our launch strategy and the promise of this and again, reiterate our cash on hand is anticipated to fund the company's cash runway to post-launch positive operating cash flow. I'd like to now turn to our ex-U.S. strategic partnerships where we had progress and advancements on multiple fronts. In the third quarter, we recorded total license revenue and received cash payments of $12.5 million, which can be broken into 3 parts. First, we recognized revenue -- license revenue and received payments for 2 separate $5 million milestones under our development and commercialization agreement with Corxel Pharmaceuticals in China, totaling $10 million, including a China-based regulatory milestone upon submission of the NDA for LNZ100 to the Center for Drug Evaluation of the NMPA in China and a U.S. FDA-based regulatory milestone upon the approval of VIZZ in the United States. In addition, and as we announced in July, we executed an exclusive license and commercialization agreement granting Laboratoires Thea to register and commercialize VIZZ for the treatment of presbyopia in Canada. Under the terms of the licensing and commercialization agreement, LENZ received and recognized as license revenue a $2.5 million upfront payment and will be eligible to receive over $67.5 million in additional regulatory and commercial milestone payments, as well as tiered double-digit royalties on net sales. Moving on now to our third quarter operating expenses. I previously discussed a planned ramp in our total operating expenses, specifically driven by commercial spend as we move into the second half of 2025. As anticipated, our total Q3 2025 OpEx increased to $31.4 million, a 44% increase over Q2 and well aligned with our operating plan. Total SG&A expenses increased to $27.6 million in Q3 compared to $6.5 million for the same period in 2024, driven primarily by the increase in commercial headcount, including the full financial cost of our sales force for the entirety of the quarter and substantial pre-commercial marketing, advertising and other commercial planning activities to support the commercial launch of VIZZ. Sequentially, SG&A increased quarter-over-quarter by approximately 116% from $12.8 million in the second quarter. I would like to highlight a key point that we have made on previous calls and in what will be a consistent objective and that we will continue to be measured in our spend on the general and administrative side of the organization as we aim to remain lean and efficient G&A team and have the predominant growth in SG&A be driven by spend to support our commercial strategy. Total research and development expenses decreased to $3.8 million in Q3 2025 compared to $6.5 million for the same period in 2024. Sequentially, R&D expenses decreased quarter-over-quarter by 58% from $9.1 million in the second quarter. As a reminder, the majority of our research and development expenses prior to FDA approval of VIZZ enjoy -- prior to the FDA approval of VIZZ in July of 2025 were dedicated to our manufacturing operation efforts to establish pre-approval commercial product and sample inventory to support our launch. Finally, our net loss per share, both basic and diluted, was $0.59 per share in the third quarter of 2025 on a net loss of $16.7 million compared to a net loss per share of $0.38 per share in the third quarter of 2024 on a net loss of $10.2 million. We ended Q3 2025 with approximately 28.6 million shares of common stock outstanding. Pro forma for the October ATM activity I noted previously, we have approximately 31.3 million shares outstanding today. In summary, we feel this quarter and recent period has been on schedule from a spend perspective and are pleased to have recently bolstered our balance sheet from both dilutive and nondilutive sources. It has never been in a stronger financial position than we are today to support the VIZZ launch. With that, I'll turn the call back over to Ev.
Evert Schimmelpennink: Thanks, Dan. To conclude, I'm exceptionally proud of the LENZ team for all that we have accomplished, an early FDA approval for VIZZ, preparing the team for launch, maintaining an extremely strong financial foundation and now seamlessly executing in these first weeks of our launch. Driving ECP awareness, confidence and willingness to prescribe ahead of activating our DTC campaign in Q1 2026. We look forward to our early momentum to continue and updating you on our progress as we launch this as a true category 1 product. And with that, I'd like to open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Stacy Ku from TD Cowen.
Stacy Ku: Thanks so much for providing such a fulsome update. So, first question is on the speaker-led bureaus and maybe some of the other approaches you are all taking to appropriately set expectations. Could you maybe talk further about how the commercial team is working with these KOLs to maximize discussion and expectation setting on the VIZZ profile, just provide a little bit more detail here. I just want to make sure we understand how motivated patient is able to appreciate the efficacy versus the transient redness and stinging. That's the first question. And then second, wondering if you're able to disclose some of the week-over-week cadence of prescriptions for October as we think about those over 5,000 prescriptions that are coming from the clinicians. And then last question, I wanted to just understand -- still early days, but if you're hearing any anecdotal feedback, be curious if any folks are immediately opting for the 3 months versus 1 month. Just trying to understand how the patients are trialing these days.
Evert Schimmelpennink: Thanks, Stacy. Good questions in there. We'll pick them up one by one and tag team on it. So, on your first one, I think importantly, just to highlight that what we're not hearing is this product doesn't work. So, the discussion actually usually focuses on that, that people realize and doctors realize that as soon as you put a drop in somebody eyes, but in and totally 10, 15 minutes, your vision improves. That's very important to realize, and that's what we continue to hear back. And like we said, what we're also hearing is that people notice that also the distance vision in many instances approves. That's always the center of the discussion. Now no different than when we launched this product and how we prepare for it. Like with every product, it's important to set expectations and tell patients that these are the positive things that you are going to likely experience and you may be one of the patients that experiences one of the side effects that is on the label. That's setting up expectations was always and continue to be a focus of our sales force and are doing that extremely well. What we've seen is, as I highlighted in the call is that I think like most miotics, we were in our trial and in preparation for launch, most focused on potential headaches in a small subset of the population, and that doesn't appear to be happening a lot. So, one of the few almost minor changes that we've made there is that as the sales force talks about some of those potential side effects, the focus has now shifted away from this potential headache more to the potential redness. Our trend here is I think that's important to highlight as well and that with a few days of use, that's something that for most patients no longer happens. And again, there, it's important to realize that this is nothing new for an eye doctor. If they fit somebody with bifocal lenses, they tell them to use it for a couple of weeks to get used to it. Same for many other products. So, this truly is not a big thing. What we're hearing from doctors and for many of them is if this really is something that allows patients, they immediately offer up some eye whitening agent to use in those first couple of days. So, that's what we're doing on the sales force end in those 13,000 calls that they're doing on a 4-week basis. Maybe Shawn can talk about what we're doing on the KOL side on the speaker bureau.
Shawn Olsson: Yes. Absolutely. So, thanks for the question, Stacy. So, when you think of all these speaker bureau events, we're running over 140 this quarter alone, and that will continue on in 2026. So, obviously, in our speaker bureau, we lay out the expectation setting for patients in there as well as how to introduce it to the patient. In that section specifically, we've now updated our speaker bureau deck, and we actually lead with highlighting the discussion around eye redness and how its transient goes away. I think that's very important. We've also incorporated actual real-life photos of the before and after every -- at 5 minutes, 15 minutes and 30 minutes, so people can see the transient nature on it, as well as the pictures of the eyes from day 1 and day 4. And so it can contextualize for the doctors. Again, this is something they're used to. This is a item that really focuses on near vision and it does a great job restoring your vision quickly and long versus the transient nature of the redness.
Evert Schimmelpennink: Thanks, Shawn. And real quick, and I'll combine your next 2 questions on trends in script data and [indiscernible]. Important again is that we really look at this fourth quarter as getting that experience of VIZZ out there. We're truly very encouraged by the initial script data that we see. Just to remind everyone, initially and up to, frankly, not even fully now, the product was only available in the pharmacy, which is why we continue to highlight that full availability of the product is not going to be until the middle of November. What that means is that not all retail pharmacies are fully available or patients that go there might not immediately be able to get that product. So, against that backdrop, we are very encouraged to share that we've already had 5,000 filled scripts. I think it's too early to start sharing what the trends are. One thing that we do notice that actually, if you look at Symphony data, it's more accurate than we initially thought. So, I'll leave you with that comment there. And then we are seeing some patients opt in for the treatment. Again, that's only available through e-pharmacy. So, it doesn't make sense at this moment to comment on what that percentage is. That's something that we feel once we have that full quarter behind us, this full quarter behind us, and we truly have both channels fully available, that's a more meaningful step to look at.
Operator: Your next question comes from the line of Yigal Nochomovitz from Citigroup.
Yigal Nochomovitz: Congrats on the early launch process. I had a few. I guess with regard to the 5,000 or over 5,000 paid scripts, I wonder if you could contextualize that in the context of what we saw with VUITY and how you compare in the early days there. And then obviously, you're essentially flooding the market with samples. And so could you just comment on the conversion from samples to paid scripts and how you expect that to evolve over time? And then lastly, if you could briefly just comment on the choice of the spokesperson in SJP, how did you arrive at her? Has she used the product yet?
Evert Schimmelpennink: Thanks, Yigal. Great questions. Like I said, we're very encouraged by what we're seeing in our launch. I think different than VUITY this is very much focused on driving that experience. So, getting to the amount of scripts that we've just shared, again, like I said earlier, not the full channels firing just yet is something that we think bodes really well and compares really well to what we saw there. I see the second part of your question there, the sample conversion?
Yigal Nochomovitz: Yes.
Evert Schimmelpennink: Yes, sorry. The sample conversion is something that I know is something that people look at for maybe more traditional launch. Remember that this sample is just a 5 pack, and it's all about making sure that whoever wants to try the product has access. So, definitely just early in the launch. We're not as focused on what that conversion is, but much more focused on making sure that really every meaningful doctor's office in the country has availability of samples. Also, what we're seeing is that the very first thing that happens as our reps deliver the samples is the doctor reps open a pack, product in their own nice and the staff. So again, I think early on, it's not really a metric that we're focused on also from a cost of goods perspective. This is not a very meaningful part of our P&L. So, in short, we'll continue to float the market with samples. We think it's a great tool that will drive patient uptake.
Shawn Olsson: And then the last question on the choice of spokesperson. So, when we're evaluating the spokesperson for VIZZ, we had a lot of criteria that we analyzed against. One, the person had to be authentic, right? Really had to be someone that was a presbyope. It had to align to our consumers. Again, when we look at the early sales of VUITY, we knew that it was predominantly in major metropolitan areas. It also biased a little bit more towards female than male. We want to make sure we got consumer aligned this. We want to make sure we also had alignment with our brand. When we think of VIZZ, we wanted someone that's elevated, someone that's a category of one or someone that stands out amongst everyone else. And our first choice was Sarah Jessica Parker for this, and we couldn't be more happy. Now this is a person who is authentic. One of our requirements is they must have used the product, tried the product and they liked it. And one of the reasons we waited until now to share who that slurry was is we need to get them samples so they can try the product and get them on to VIZZ. And so this person -- Sarah Jessica Parker has used the product and does like the product. We're really excited to partner with her and to launch in Q1 of 2026 with that campaign.
Operator: Your next question comes from the line of Biren Amin from Piper Sandler.
Biren Amin: And thanks for sharing a lot of the metrics around the launch. I had a question around that. So, you highlighted how you detailed the 17,000 unique eye care professionals. And of those, I think about 7,000 ECP offices have been sampled and then 2,500 ECPs are now unique prescribing. So maybe just talking through that funnel, is the expectation in the next few months that the remainder of the 10,000 ECP detailed that haven't been sampled will be sampled. And then the conversion rate from sample to prescribing ECP, what characteristics are you seeing on that? And is the expectation that, that number will grow given the samples across the 7,000 ECPs?
Evert Schimmelpennink: Thanks, Biren. Shawn, I will again tag team him on this one. So, as we think about providing samples to these offices, again, the call rate at the moment, and we've got no reason to believe that this is going to change is about 13,000 visits every 4 weeks by our sales force, which again is a tremendous achievement and want to highlight the great work that they're doing out there. If we say 7,000 sample or 70,000 samples delivered, that's 7,000 offices. What we know and what you see is that many of these offices have more than one doctor in it. So, the actual amount of doctors that have samples will be slightly higher than the 7,000. But ultimately, as I mentioned earlier, the aim is indeed to have samples available at every office that wants it. So, we'll continue to push for that. The current focus is really to get our sales force to those targeted doctors, doctors that are prescribing doctors that have maybe previously prescribed VUITY. But what we are seeing, and I mentioned that in my prepared remarks as well, is that there's a lot of interest from offices outside of those initial 12,000 to 15,000 that we're focused on. So, we're definitely putting mechanisms in place to ensure that we can provide them with our background and samples for the product as well. And definitely, that number continues to grow. And we see that, frankly, on a daily basis on the numbers that we see coming in. So, maybe Shawn can talk a little bit more on what we see in doctors that are -- those first ones that are converting into being less.
Shawn Olsson: Yes. So, we'll continue to roll out these samples over the next few months. Our samples, as a reminder, will be always ongoing. We want the patients to try the product before they actually move into a script. When we look at these writers, what we're seeing is, again, general trends as expected, right? When we look at the VUITY launch, we saw that the early adopters are those in metropolitan areas, those that are predominantly optometrists, and we continue to see that, and we continue to focus on those people in terms of our call cycles and continued rollout of samples.
Operator: Your next question comes from the line of Marc Goodman from Leerink Partners.
Marc Goodman: Two questions. First, for the patients who've gotten prescriptions, can you give us any sense of like what are they like? Are they men? Are they women? Do they tend to be your typical early presbyopes? Are they a little bit later? Just anything you can tell us about them and what would be unique about them? And then second, on the DTC, just how extensive will this be? Is this going to be like analog where you're watching 6:30 news on television like the old days? Or is it digital only?
Evert Schimmelpennink: Yes. Great question, Marc. Thanks for that. So, if we look at the filled prescriptions to date, because this is coming through our e-pharmacy, we do have a lot of information on the demographics of patient. And again, it's in line with what we expected, right? So, we see the prescriptions. It's mostly people in that 45 to 65-year-old age group, right, still gainfully employed. We are seeing a bias towards female over male, again, as expected, and we're seeing it in those metropolitan areas. So right, really those more developed areas along with what we saw with VUITY and being the biggest space in markets. This is great confirmation before I move on to what your second question is your DTC. These are the areas the adopters expected and that we're seeing and our DTC has targeted them as well. And what we find in these early adopters is they're not necessarily on analog TV or linear TV is the other common name for it. What we see is they're spending time on a more digital environment, which is your Instagram, your Facebook, your YouTube and your Pinterest. And so that's where the majority of our DTC will be focused. So, it is predominantly digital and hitting on where they spend the time. The great news is with our already market research that told us the early patients are as well as the confirmation of what we're seeing in early patients, we can further target them through where they live, what they research online, what their annual income is to have a successful DTC campaign.
Operator: Your next question comes from the line of Jason Gerberry from Bank of America.
Pavan Patel: This is Pavan Patel on for Jason. First is, can you maybe help us break down the use of e-pharmacy versus traditional retail pharmacies within those initial 5,000 scripts? Just trying to get a sense of how closely we're going to be able to track those patients and get a sense of expected refills. And I think Ev may have mentioned that there's some supply that's being available on e-pharmacies that is different versus retail pharmacies. Just if you could clarify those comments. And then my second question is with regards to the SG&A run rate for 4Q. I guess, how should we be thinking about that? And then as we look towards 1Q of 2026, can you just help us quantify the expected step-up in spend associated with the new DTC campaign with the spokesperson? Thank you.
Evert Schimmelpennink: I'll take the first one and Dan will talk about the SG&A. So, like I explained earlier, currently in these first weeks of launch, initially, the product was only available through e-pharmacy. And only in the last couple of weeks, slowly, the retail pharmacy has come online. So, whatever that split at the moment is, it will not be representative of how this will go forward. So, I think it's too early to give any call on what that split is. What we are seeing, and I think that's expected is that Symphony and IQVIA as it comes online will have a good sense, we expect of the product that's flowing through retail, less so on the e-pharmacy side, although as I mentioned earlier, we're surprised to see that Symphony is tracking the e-pharmacy side to a degree. And then I think your question was around the difference in availability of product through e-pharmacy. I think as we mentioned a lot, there's a 3 pack that's available for consumers to buy at a discounted rate of $198 per pack. That $66 that could translate into $66 a pack, which obviously compares to the $79 if you do a one pack. Importantly, from a bottom line perspective, it's the same to us, but obviously gives that advantage to the patient. That pack is only available through e-pharmacy. So that's the difference there. And then on the SG&A side, I'll hand it over to Dan.
Daniel Chevallard: Thanks, Ev. And Pavan, thanks for the question. So just to break down the OpEx overall, what we talked about this year were 2 trends. One was you should expect SG&A to ramp into the second half, which I'll characterize for you. And then you also should expect R&D to do the opposite, which also has done. So, R&D of $9.1 million in the second quarter down to $3.8 million in the third quarter, you should expect that to continue to taper. And on the SG&A side, having spent $12.8 million in Q2 for SG&A and that bumping to $27.6 million in Q3, that trend is what you could reasonably expect. Now Q3 did include some one-timers you would expect around the moment of launch. There were some onetime costs. But what we've always said for 2026 was assume a commercial spend of $80 million to $100 million per year, inclusive of the DTC. And then layer on top of that, the G&A spend on the order of $20 million to $25 million. That kind of 4:1 ratio we've consistently talked about of sales and marketing versus G&A. I would just reiterate that at this point in time. So, if you take those assumptions and model them into 2026, we would be comfortable with that and are continuing to guide in that way.
Operator: Your next question comes from the line of Lachlan Hanbury-Brown from William Blair.
Lachlan Hanbury-Brown: Congrats on the progress. I guess, you mentioned that there's been a decent amount of nontarget doctors that have expressed interest and you're putting mechanisms in place to support them. Can you just elaborate on what that is? I mean are you going to need more sales reps to support what looks like thousands more doctors than the current target list? And then maybe a quick second one. Any comments on the sort of average time to fill at the moment that you're seeing in the e-pharmacy so far?
Evert Schimmelpennink: Great question as well, thanks. So, on the non-targets, one of the mechanisms that is in place is that we also have an inside sales force of 10 people that are available to connect with those offices. And we do have a mechanism where we can actually ship samples to them. What you also see is that for sales force, and we definitely again want them to continue to focus on our target accounts even in the same literally street as an untargeted one that is prescribing and that's obviously data that's all available. That's an easy stuff for them to make as well. But some of the things we've always spoken about, and you guys know that, that over time, we may increase the sales force. We have no plans to do that any earlier, but it is obviously something that we'll continue to look at. And as soon as that makes sense, we will pull that, that trigger. So that's on those 2 mechanisms. And then time to fill can be very quickly. We see and that's what's in place on the e-pharmacy side that you leave the office with a script in hand, you fill it out on your phone and just normal shipping is in most instances, 2 to 5 days. If you really want the product earlier, that's a priority shipping in place as well. And we see that work well on the retail side, similar timelines at the moment. So, we don't think that there's like a hurdle or a delay in filling the script.
Lachlan Hanbury-Brown: Okay. And then maybe another one. You mentioned in the press release, I think there are about 9,000 ECPs have opted into the find a doctor tool on.vizz.com, which seems like a great number so far, but that's obviously not the whole target universe. So, I was just wondering what is sort of the barrier to getting the rest of the targets to opt in? Is it that they want experience or you just haven't got to them yet to talk about it?
Evert Schimmelpennink: No. Thanks for actually bringing that question up. I think it's an important distinction that unlike different companies or what we often see is where you just buy a data set, but in our case, eye care professionals, we want this to go very differently. It's an opt-in process. So, doctors have actively one BD their own, 2 have samples and then 3 opt in to find a doc, it's a bottoms-up fill. And again, I think the number that you're seeing there highlights the enthusiasm that doctors have for the products. Anything you want to add, Shawn?
Shawn Olsson: I say again, it's early in the launch. We're already continuing to see that grow very rapidly. And the great thing is by making sure it's this bottom-up build, it's people that we know that we've spoken to multiple times, they're understanding the MOA differences, they believe in the product, and then we're bringing them on to this process of our money back.
Operator: Your next question comes from the line of Gary Nachman from Raymond James.
Gary Nachman: So, back to the initial people using VIZZ, so the 5,000 first Rxs, can you also profile them a bit in terms of the buckets you've talked about? Are they contact lens wearers, LASIK patients, those getting aesthetic treatments? And are you seeing any pushback at all with consumer sentiment generally pretty low with the price of VIZZ? Is that holding back any Rx uptake?
Daniel Chevallard: Great question, Gary. Thanks for that. So, when we look at the initial users, we can't see a lot of data. What I can tell you on these initial users is there are people that are already in the practice because we haven't turned on DTC yet, it's really doctors speaking to patients that are already coming through their practice. So, it's mostly those. We can't break it out into which bucket yet of are they post LASIK or not. We'll be able to get better insight in that after we turn on our DTC and we've targeted those groups. But it does appear to be those already in the practice would then lend itself more towards like the contact lens users or people that are just going in for random checks more than the other groups. In terms of pricing, we're not hearing much pushback at all on pricing, which is great. I think the biggest feedback we're hearing is, hey, this product works, it works fast and it works long. And so, we really see that as promising and haven't seen pushback on pricing.
Gary Nachman: Okay. And then just one more for Ev. The distance benefit that you're hearing pretty consistently, it sounds like in addition to the near vision benefit. How important is that for VIZZ's overall profile and how patients are viewing that? And will you consider a study looking at distance vision maybe to add to the label in addition to whatever data you have already?
Evert Schimmelpennink: Thanks, Gary. So, we are indeed hearing it, and that's great and something, obviously, in our Phase III data, we saw that some 41% of people in the study show if we measure the distance vision improvement there. That's clearly something that in practice translates. So that's great. It's all anecdotal at the moment. It's not key in our mind to make this successful as a near vision improvement drug. But obviously, it's a nice added benefit. We're hearing doctors experiment with it in that way and maybe experiment is not the right word, but they see again highly anecdotally that people that are minus half, minus 1, minus 1.5 are able to go without their distance correction. Highly anecdotal, something that we are obviously following, something that we are thinking of maybe ultimately do a different study on because that could be a group of patients that you can actually serve with our product as well. So again, great to see encouraging, not a make or break for the success of this as a presbyopia drop, but obviously very nice benefit.
Operator: Your final question comes from the line of Matthew Caufield from H.C. Wainwright.
Matthew Caufield: And obviously very excited for the launch. You had mentioned the focus on optometrists compared to ophthalmologists. And I was just curious how you anticipate that specific split playing out in the near term regarding the sales force targeting for driving the launch and how that might evolve in the coming quarters?
Shawn Olsson: Yes. Thanks, Matt. So when you look at our sales force targeting, it's aligned to where we saw the early prescribers of VUITY. So their targets are roughly 80% optometry and then 20% ophthalmology. And so, we'll continue to look at the prescriber base, but don't see any changes to that mix in the near term right now. We're seeing consistently that, again, this does continue to be an optometry play product. And so, we're confident in that 80-20 split. That concludes our question-and-answer session. As I'm showing there are no further questions, thank you for your participation, and we now conclude today's conference call. You may now disconnect.